Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good day, everyone, and welcome to the SS&C Technologies First Quarter 2022 earnings call. Today's call is being recorded and all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session.  Thank you. 00:29 And I would now like to turn the call over to Justine Stone, Head of Investor Relations. Please go ahead.
Justine Stone: 00:36 Hi, everyone. Welcome and thank you for joining us for our first quarter 2022 earnings call. I'm Justine Stone, Investor Relations for SS&C Technologies. 00:46 With me today is Bill Stone, Chairman and Chief Executive Officer; Rahul Kanwar, President and Chief Operating Officer; and Patrick Pedonti, our Chief Financial Officer. 00:55 Before we get started, we need to review the Safe Harbor statement. Please note that various remarks we make today about future expectations, plans and prospects, including the financial outlook we provide constitute forward-looking statements for the purposes of the Safe Harbor provisions under Private Security Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent Annual Report on Form 10-K, which is on file with the SEC and can also be accessed on our website. 01:30 These forward-looking statements represent our expectations only as of today, April 28, 2022. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today's earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. Also in the third quarter 2021, we entered into a joint venture named DomaniRx, LLC, which we are the majority interest holder and primary beneficiary. All earnings figures discussed today, including operating income, EBITDA, net income and EPS are attributable to SS&C based on the ownership interest retained by SS&C. 02:27 I will now turn the call over to Bill.
Bill Stone: 02:31 Thanks everyone for joining. Our results for the first quarter were $1,296 million and adjusted revenue, up 4.9% and $1.25 and adjusted diluted earnings per share up 5.9%. Adjusted consolidated EBITDA was $514.9 million for the quarter, the highest first quarter in our 35-year history. Our EBITDA margin was 39.8%. 02:58 Our first quarter adjusted organic revenue was up 4.3%, our alternatives Intralinks, and Advent businesses were the growth leaders for the quarter. Ex the impact of our healthcare business, our Q1 2022 organic growth in financial service, which is over 90% of our revenue was 5.9%. SS&C generated net cash from operating activities of $183.5 million for the three months ended March 31, 2022. In the quarter, we bought back 2.3 million shares in the average price of $75.22, per share for an total of $170.9 million. We also use cash on help -- on hand to help fund the acquisition of Blue Prism and Hubwise, which both closed in March. Our consolidated net leverage ratio now stands at 3.48 and our net secured leverage ratio is 2.51. We expect to reduce our gross leverage to 3.0 by the end of the year, while remaining active with our share repurchase program. 04:01 These are exceptional numbers given the global uncertainty and resultant hesitancy of our customers. We're excited to add Blue Prism team and their automation capabilities in the SS&C's -- Blue Prism will continue growing revenues at 15% to 20% with the potential to accelerate with its successful cross sale initiatives. We estimate the enterprise grade intelligent automation market to be in excess of $150 billion based off McKenzie's estimate 30% of all roles can be automated. 04:33 Companies across the world can due to struggle with labor market, and we are in a great position to capitalize on this disruption. Currently Blue Prism like most fast growing new technology companies is operating at a loss. Through revenue growth and cost controls we expect 15% to 20% EBITDA margin exiting 2023 and 30% to 40% EBITDA margin exiting 2024. 4:57 I'll now turn the call over to Rahul discuss the quarter in more detail.
Rahul Kanwar: 05:02 Thanks, Bill. We had a good quarter across the board, led by strong performance from Advent, Intralinks and alternatives fund administration. The Alternatives business continues to strengthen for market driven gains and internal development efforts, investor allocations to hedge funds are at all time highs and assets under administration continue to grow despite market volatility. We remain focused on extending the depth and breadth of our technological capabilities. GoCentral and Treasury Management Solutions, both launched this quarter have generated significant interest already. GoCentral utilizing AI and RPA Technology throughout will contribute to our win rates going forward, as well as advancing the automation journey across all client operations. 05:46 Our private markets, and Advent teams have been closely partnering to enhance a holistic Operating and Technology model and support of hybrid in credit funds. This new offering marries Geneva’s core technology capabilities and private markets administration services in a manner that offers clients flexible delivery models. In Q2, we expect to close our first combined deal and have several large prospects in the pipeline targeted for later this year. 06:13 Intralinks remain strong in both M&A and alternatives coming off of 2022s record breaking M&A environment. We continue to take market share and anticipate steady continuation of deal volume for the remainder of the year. As expected healthcare revenue declined 15.5% in the quarter, we're investing heavily in DomaniRx and we continue to move towards the development of a cloud native, API-driven claims adjudication platform based off the best experience of ourselves and the other two founding partners. With the upcoming launch of DomaniRx and the interest due to this new technology has generated, we expect a strong recovery in 2023. 06:53 Now, I will mention some key deals for Q1. A 5 billion broker dealer chose Black Diamond, due to our superior service and support model over competitors, as well as our trading and rebalancing functionality, an existing  client a top U.S. mutual fund expanded their relationship with our event center solution. One of our largest mutual fund clients expanded their transfer agency BPO services. A 14 billion hedge fund an existing Geneva client chose our as  in Fixed Link solutions, they viewed as in Geneva both as Tier 1 platforms and found the two together to be an extremely powerful solution. 07:31 A $1 billion AUA real assets fund chose us suite of SS&C private market services, including investor tax and fund services, because of our expertise and various asset types and fund structures. 07:43 I will now turn it over to Patrick to run through the financials.
Patrick Pedonti: 07:47 Thank you. The results for the first quarter were GAAP revenues of $1,295 million, GAAP net income $172.1 million and diluted GAAP EPS of $0.64. On an adjusted basis, revenue was $1,296 million, including the impact of the adoption of the revenue standard 606 and for deferred revenue adjustments for prior acquisitions. 08:18 Adjusted revenue was up 4.9%, adjusted operating income attributable to SS&C increased 4.8% and adjusted EPS was $1.25, a 5.9% increase over Q1 2021. Overall, adjusted revenues increased $60.8 million, a 4.9% in Q1, our acquisitions contributed $17.4 million. Foreign exchange had an unfavorable impact of $8.7 million or 0.7% in the quarter. 08:53 Adjusted organic revenue increased on a constant currency basis was 4.3%. We had strength across several product lines, including alternatives, Intralinks and the Advent businesses. Adjusted operating income the first quarter was $498.7 million, an increase of $22.9 million or 4.8% during the first quarter of ‘21 09:20 Adjusted operating margins were flat at 38.5% in the first quarter as compared to the first quarter of 2021. Expenses increased 1.7% on a constant currency basis, and acquisitions added $17.6 million in expenses and foreign currency decreased costs by $7.8 million. Consolidated EBITDA, which is defined in Note 3 in our earnings release was $514.9 million or 39.7% of revenue, an increase of $23 million or 4.7% from Q1 2021. 10:02 Net interest expense for the quarter was $49.3 million, and includes $2.6 million of non-cash amortized financing costs and OID. The average rate in the quarter for our credit facility and senior notes was 3.11%, compared to 3.01% in the first quarter of ’21. We recorded a GAAP tax provision of $63.5 million or 27% of pre-tax income. 10:33 Adjusted net income is defined in Note 4 for earnings release was $334.4 million and adjusted EPS was $1.25. The effective tax rate used for adjusted net income was 26%. Diluted shares increased to 267.6 million from 267 in Q4 ’21. The impact of option exercises and increase in the average share price partially offset by share repurchases. 11:09 On the balance sheet and cash flow, we ended the first quarter with 558 million of cash and cash equivalents and 7.6 billion of gross debt. SS&C's net debt defined in our credit agreement excludes cash and cash equivalents of $145 million held at the DomaniRx JV. 11:33 So the net was -- the net debt was $7.2 billion as of March 31. Operating cash flow for the three months ended March was $183.5 million, $2.2 million decrease, compared to the same period in 2021. A couple of highlights in the first quarter, our net borrowings $1,583 million, compared to net borrowings of $70 million in 2021 period. 12:06 In the quarter we paid $1,553 million for the Blue Prism and Hubwise acquisition net of cash acquired. To fund the Hubwise acquisition we borrowed two incremental loans for a total of $1,530 million that mature in March 2029 and bear interest at sulfur (ph) plus 2.25% with a 50 bps sulfur floor. 12:36 Treasury stock buybacks were $170.9 million for purchases of 2.3 million shares at an average price of $75.22. And in July 2021, the Board authorized, up to 1 billion of stock buybacks in the program to-date treasury stock buybacks totaled $333.7 million repurchase of 4.4 million shares. In the quarter we declared and paid a $51.1 million common stock dividend, an increase of 24% from last year. We paid income taxes of $42 million, compared to $42.5 million in the first quarter of ’21. 13:25 Our accounts receivable DSO uptick a little bit in the quarter, up to 52.7 days, compared to 49.5 days as of December 2021. Capital expenditures and capitalized software were $35.6 million or approximately 2.7% of adjusted revenue and the spending was predominantly for internal use capitalized software and our IT infrastructure. 13:55 On an LTM consolidated -- our LTM consolidated EBITDA we used for covenant compliance was $2,063.5 million as of March 2022. Based on a new debt -- based on a net debt of $7.2 billion total leverage ratio was $3.48 and our secured leverage ratio was $2.51. 14:23 An outlook for the remainder of the year, I’ll first cover a few assumptions we've made, we'll continue focusing on our client service and our retention rates -- client retention rates will continue to be in the range of most recent results. We have assumed foreign currency exchange will be at current levels for the remainder of the year and that will impact revenue negatively by approximately $43 million in Q3 through Q4. 14:56 Our recent acquisitions of Blue Prism and Hubwise will contribute approximately $203 million of revenue for the remainder of the year. And on that basis adjusted organic growth for the year will be in the range 2.4% to 5.6%, and adjusted organic growth in Q2 in the range of 1.7% to 4.8%. 15:21 On interest rates, we have assumed that near-term LIBOR will be about 70 bps and the spread on our credit agreement is 175 bps and 225 bps on the new facility, we put in place for Blue Prism acquisition. And we expect LIBOR rates to increase approximately 100 bps, through the rest of the year. This will impact our expected interest cost by about $0.06, compared to previous guidance. 16:00 Blue Prism will impact EPS -- the dilution of about $0.09 for the year, including the impact of the new debt facility. We expect that staff costs to increase to the continued wage inflation and impact Q2 operating results. We will manage our expenses in the second half of the year by controlling variable expenses and maintaining our operating margins. We'll continue to use our free cash flow to pay both pay down debt and stock buybacks. And we have assumed a tax rate of 26% and adjusted basis for the year. 16:44 So in summary, for the second quarter of 2022, we expect revenue range of $1,328 million to $1,368 million, diluted shares in the range of $267.2 million to $266.7 million and adjusted EPS in the range of $1.13 to $1.19. For the full-year ’22, we expect revenue in the range of $5,350 million to $5,510 million, diluted shares in the range of $268 million to $266.4 million and adjusted EPS in the range of $4.99 to $5.21. Now we expect cash from operating activities to be in the range of $1,315 to $1,375 million. 17:37 And I’ll turn it over back to Bill for final comments.
Bill Stone: 17:48 Thanks, Patrick, and as Patrick just mentioned, we're guiding organic revenue growth of 4% for the year and reducing our EPS guidance due to the dilution from Blue Prism and the interest rate increases. The start 2022 has been a challenging environment for our clients. Uncertainty and instability in the world and the labor force have made our clients and prospects more hesitant to sign deals. This uncertainty can also be a catalyst for change. 18:15 The need for operational stability from a reliable trusted provider. We are aggressively investing in our sales force and R&D efforts to capture this opportunity. GoCentral singularity  a low high treasury management and others are rolling out now. Cost will be controlled through reduced incremental hiring, utilizing AI and automation, including Blue Prism digital workers, to accomplish this and a reduction in our global real estate footprint. 18:45 And I'll now open it up for questions.
Operator: 18:51 Thank you.  We'll take our first question from Alex Kramm with UBS.
Alex Kramm: 19:12 Yes, hey good evening everyone. Maybe just starting on the DST side here growth of 0.9% in the quarter decels quarter-over-quarter, I heard you on the selling environment and obviously it's a lot of uncertainty in the world. But I would also say that coming into this year, we still had traditional asset managers, I think do very well on the back off multi-year highs and equity markets, et cetera. So I think your customer base is actually doing fairly well. So just wondering what in particular you're seeing at DST and in this environment if we can see that growth rate kind of tick up again in that business? Thanks.
Bill Stone: 19:59 Well, I'll give a shot Alex and I have Rahul comment that we continue to roll out additional capabilities in our DST businesses and we have lots of large opportunities and it comes down to not only close in those opportunities, but also then giving those clients live. So there is a bunch of pent up revenue, then hopefully we will start to roll into those financial statements in the second half of 2022. But there are large scale organizations and while we have teams working on it, we also rely on the clients to help us in that process and these uncertainties are not helping them move more quickly. And then, Rahul do you have any other color?
Rahul Kanwar: Well I -- the one thing I'd add also is these are -- these customers are some of our biggest customers across the company. So the DST relationships are strategic for us and they frequently buy from us in other areas, including Alternatives, Advent and others and obviously that's not reflected in the DST Financial Services line, but it does speak to the value of the relationship.
Alex Kramm: 21:22 Fair point. Thank you for that. And then maybe just on the margin real quick, clearly margins flat year-over-year, I think last quarter you already talked about some inflationary pressure, I think you brought this up again today. So just wondering are things a little bit tougher than you expect this given the big resignation that everybody talks about or and how you -- how do you think it's going to continue to impact or how are you going to navigate that environment?
Bill Stone: 21:55 Well, I think that, that's a great question, Alex, and we are instituting all kinds of things to improve our retention and be able to create an environment where we are a employer of choice. But that there is wage inflation and that, you know, the overall power has really moved from capital to labor and while I don't think that's necessarily a bad thing. I think for the short-term adjusting your sights on going for price increases and being able to move inflationary costs through to the revenue side, I think is what we're working on and being sensitive to our employees and making sure that we remain a employer of choice. Q - Alex Kramm 22:59 All right, great. I'll jump back in the queue. Thank you.
Operator: 23:04  and we'll take our next question from Andrew Schmidt with Citi.
Andrew Schmidt: 23:11 Hey guys, thanks for taking my questions. Good to see the resiliency here. First, I just had a question on Blue Prism, just back to the envelope it looks like there should be approaching 100% or 1% a point accretive on a pro forma basis, we think about just total growth. Just want to make sure I have that correct? And then if you could talk a little bit about just the opportunity to plug Blue Prism into the SS&C direct sales force, because it seems like that's one of the big river in opportunity just timeframe and process there, that would be helpful. Thanks a lot.
Bill Stone: 23:51 Rahul, you want to take that?
Rahul Kanwar: 23:54 Yes, so maybe Patrick can comment on the first one on the accretive, Bill and -- yes.
Patrick Pedonti: 24:02 I think your question was around revenue, right? How much does that add to revenue growth?
Andrew Schmidt: 24:06 Yes, right. On a pro forma basis, yes.
Patrick Pedonti: 24:11 Yes, so I think what we have in our financials for this year and our forecast is the first quarter had about $10.8 million and that just represents a half a month and then for the remainder of the year, I think we're estimating somewhere around $196 million of revenue for the second, third and fourth quarters.
Andrew Schmidt: 24:39 Right, I guess --
Rahul Kanwar: 24:40 And then I think to the second, yes sorry.
Andrew Schmidt: 24:41 Yes, I was going to say, I guess the question is more around just combined company growth rate, it seems like it should obviously is accretive, but the growth, but it seems like it should be approaching that kind of 100 basis point accretion when obviously when we have this in the base 2023. Just want to make sure that's the right ballpark?
Bill Stone: You know, if you think about it right, it's roughly we're getting $200 million in 10-months, right. So let's call it $230 million or something like that and add the 20% growth rate that's $46 million, which would be pretty close to 1%. So that's how we will think about it as well.
Andrew Schmidt: 25:28 Great. Perfect, thank you for that.
Rahul Kanwar: 25:32 And then I think to the second part of the question. Yes, so the second part of the question, we're actually pretty excited about the opportunity, we obviously have 18,000 clients most of whom I’d say virtually all of them are candidates to have greater automation and they have digital workers right? So that cross-sell component is pretty important to us. We also have a wealth of direct applications ourselves whether in our outsourcing business we were performing many of the past that folks would look to have digital workers do. So we're working hard and our teams are working hard on coming up with applications for, if you're a hedge fund, or an insurance company here is something we might be able to do for you using this technology. And rolling that out, we think will be pretty powerful. So that's all underway.
Andrew Schmidt: 26:22 Perfect. Appreciate that. And then when we think about just the core business Intralinks from a growth perspective was a real surprise in my perspective given the M&A volumes out there. It seems like a lot of that is due to share gain. Maybe you could talk a little about just the drivers there and how you see that playing out for the full-year from a growth perspective. Thanks.
Rahul Kanwar: 26:49 We have a great business in Intralinks and they continue to find pockets of growth throughout their client base and new clients, and they've done a lot of things with help them the alternatives industry with portals and other things and along those lines information delivery and then obviously they continue to be very strong in the VVR market and M&A in general. So we expect similar growth for the rest of the year.
Andrew Schmidt: 27:31 Perfect. Thanks Bill, Rahul, Patrick, appreciate the comments.
Operator: 27:36 We'll take our next from Peter Heckmann with Davidson. Q - Peter Heckmann 27:42 Thanks for taking the question. Can you just remind us of some of the dynamics in the health business. The decline in revenue, the timing of any customer losses and whether that would be fully reflected in the run rate number for the first quarter. And then just remind us how the JV works, yes, if I remember correctly, you want a majority so you're consolidating that with revenue and then have a minority interest coming out. But from your comments it sounds like we're going to start to see that joint venture start to ramp. Would that be from new customers or increased volumes or both?
Bill Stone: 28:23 Yes, so the money is 80% owned by us and 10% owned by each of our partners, and that's right on how we do the accounting on that. We have a lot of interest into money and the platform that we're building is pretty much on track. We hope to roll that out to one of our partners on the 1st of January ‘23 and then the second one on 1st January ‘24, but we also have tremendous interest and others coming in as customers into  as partners. So, we expect revenue to ramp nicely in 2023 through the next five or 10 years. And so we're excited about it. We think it's the first really cloud-based claims adjudication process in the PBM world and we're excited about where we are.
Peter Heckmann: 29:28 Got it, got it. And then just as regards just the decline in revenue this quarter. Can you remind me and I -- was that a loss of one large customer, or was it an aggregate of several? And if you could just remind me when that actual deconversion happened, if that happened January 1?
Bill Stone: 29:50 Yes, it happened January 1.
Rahul Kanwar: 29:53 And several right, so and that's a total of about 70 million to 80 million and one of them represents about half.
Peter Heckmann: 30:07 Got it, okay. And then do you think on the own shares acquisition, do you feel like that should close by the end of the summer?
Rahul Kanwar: 30:17 I think scheduled right now little unpredictable, because there is some approval requirements. But I think it's scheduled for the end of June.
Peter Heckmann: 30:28 Okay. I appreciate it.
Operator: 30:32 And we'll take our next question from James Faucette with Morgan Stanley.
Jonathan: 30:38 Hey, this is Jonathan on for James. Thanks for taking the questions. So you had alluded to driving price increases to offset wage inflation. And if I think back to the Analyst Day from last year you talked about, call it 100 basis points of a pricing uplift to drive growth. How are these or price increasing -- price increased conversations going with customers and is that enough to sort of offset the magnitude wage inflation that you're seeing?
Bill Stone: 31:10 Well, I mean, I think it's a process and I think the process is well underway and obviously inflation has ticked up now most month after month since the last five or six months, and so you know, we're planning on raising our prices to be able to cover our increased costs and I think our customers understand, but what's happening across the board for almost all of the vendors. And we're no different and we have a very talented labor force and we're going to make sure that we take care of them and continue to be a very strong and trusted partner.
Jonathan: 31:58 Got it. And a follow-up on the RPA opportunity. How are you thinking about the head count or the magnitude of investment required service the broader RPA platform that you have inclusive of Blue Prism?
Bill Stone: 32:13 Well, we -- again we have a large development organization, we have many, many talented RPA developers, as well as AI and NLP and machine learning. So we have a big staff and Blue Prism complemented great. So we think that in general, we're going to be able to deploy 100s of digital workers and hopefully over the next two or three years, 1,000s of them, which will allow us to grow and not to had the headcount likely would have, if we didn't have such technologies. And I think that's the whole -- holy grail of doing this acquisition is to bring that high power technology that allows you to switch to digital workers for human workers, I mean, it doesn't replace human workers per se in total, but it's certainly augment them in a very, very strong way.
Jonathan: 33:18 Appreciate the color, Bill. Thank you.
Operator: 33:22 We'll take our next question from Kevin McVeigh with Credit Suisse.
Kevin McVeigh: 33:27 Great, thanks so much. Is there any way to think about what the potential revenue opportunity is across your existing client base for Blue Prism? I think we were muted -- obviously 18,000 clients. You know over time -- is there any way to think about what the revenue contribution can be, you know, again across the existing client base?
Bill Stone: 33:55 Rahul, you want to take that?
Rahul Kanwar: 33:57 Yes, sure, Bill, thanks. So it's a huge market, right. And as a multiple of the 200 and change that Blue Prism does, we anticipate that just in our current client base, we probably have 3, 4, 5 times debt amount opportunity and some of the consultants out there are representing this as a $150 billion or more market right and potentially as much as 30% of -- as Bill noted of all the line jobs that are done lend themselves to this kind of technology. So we're just trying we're obviously -- we're mindful off the size of the market. And at the same time, we have to focus on specific things that we can do better than anybody else and Blue Prism already has a number of those in the customers that they have deployed and we're working with them on building out additional use cases and applications.
Kevin McVeigh: 34:52 It's helpful. And then it seems like the revenue retention was up 90 basis points sequentially. Historically, there has been a little seasonality should it state that 96 or how should we think about the revenue retention, I think you said stay around that level. Is that right, I just wanted to confirm that?
Bill Stone: 35:12  around that.
Kevin McVeigh: 35:16 Okay, great. Thank you.
Patrick Pedonti: 35:18 In the historical range, I assume, over the last couple of years.
Kevin McVeigh: 35:22 Thank you, Patrick.
Operator: 35:26 All right. We'll take our next question from Alex Kramm with UBS.
Alex Kramm: 35:31 Oh, that was quick, hello again. And just had a couple of follow-ups here, one on the interest expense. Thanks, Patrick for the color in terms of the rising interest rate environment, et cetera. Maybe to make it even easier for some of us, can you actually give us the kind of dollar amounts of interest expense that you expect for the next three quarters as you bake in that rate increase?
Patrick Pedonti: 35:57 Sure. I think -- including the new debt on Blue Prism, I think, which is about $36 million or $37 million for the year. We talked about to $250 million this year in total.
Alex Kramm: 36:25 Okay and -- yes in terms of the ramp, I guess it's -- I guess I don't know if you have any assumptions you want to share given that --
Patrick Pedonti: 36:34 No, I would say, I mean -- yes, I think right now, you know, the average interest rate on our original facility is probably around 2.45% and the new facility is 50 basis points higher than that, because of the spread. And then I would say it goes up another 50 basis points in Q3 and another 50 basis in Q4.
Alex Kramm: 37:08 Super helpful. Thanks for that. And then just as we think about capital deployment here are you assuming basically mostly pay off debt given the rising interest rate environment or do you still think there is appetite for buybacks as we step through the year. And then, yes, and that's it. And then, sorry, just one last quick one, stock-based comp increased quarter-over-quarter. Is that a good -- any reasons why the big step up I think that was the second highest in a company history and is that a good run rate to think about for now?
Bill Stone: 37:52 Well, Alex, I think it would be -- I'll take part of this, Patrick then turn it to you. Yes, I think we're going to aggressively buy back our stock, we still see it as a financially a quite a bit more effective than buying and paying down debt. Although you know if interest rates continue to rise, then we'll revisit that. But right now, you know, we're going to generate $5 a share in cash and restructuring that 70 bucks or so $69 and plus we pay a 1.2% dividend. I think and so I think economically, it makes a lot more sense to buy back stock. But rising interest rates could change -- for sure. We have tried to move a lot of the cash bonus programs into more equity bonus programs and have them as a complement to the cash and as cash be less of that most of the driver of the bonus program. So I would think that the equity stock-based compensation is probably pretty close to where it will be going forward. And I think that again it's tough labor market out there and we're going to do everything we can in order to reduce attrition as much as we can. And I think we've done a pretty good jump to-date.
Alex Kramm: 39:22 All right. Helpful. Thanks again.
Operator: 39:26 We'll take our next question from Chris Donat with Piper Sandler.
Chris Donat: 39:32 Hey, good afternoon, thanks for taking my questions. I had one for Rahul on the alternatives business and it shows the 10.7% growth in alternatives in the first quarter in your slide deck. And then the -- with the private markets growing over 18%, I'm just curious if you can comment on what's driving that strength in private markets. What you see for competition and is this a lot of in-house opportunities shifting to SS&C?
Rahul Kanwar: 40:06 Sure, I think it's a little bit off all of that, but mostly it's a continuation of a trend where folks that had in-house operations as they start new funds. They use us or somebody like us and we would say that the investment that we have made in technology and process over less decade or so is market differentiating. So we have a really strong business, we’re the biggest provider of private market and that's more private equity and real assets funds in the world. And the capability keeps getting better. 40:42 So we're a natural place for many of these funds to come to and it is a combination of these are hard asset classes, particularly in the private lending, private credit and private equity, as well as real assets, so because they’re hard asset classes, there’s a lot of new launches and then there is transfers of internal. So all of that leads to, I think a growth trend that is both positive and we think sustainable.
Chris Donat: 41:07 Okay, got it. And then Bill, just on the health care business your optimism for the future. For this year for that, what's the best way for those us on the outside to track progress there, is that something we'll see a flurry of press releases or will we need to wait till second quarter results or third quarter results. Just how should we try to keep an eye on that one and progress you're making?
Bill Stone: 41:35 Yes, I think as we sign new customers, new partners, we would have press releases. But you know, people who are kicking the tires on the technology and want to make sure that, that we're going to deliver on our milestones and knock on wood, we've done a pretty good job so far. So I think, more to come and I think that these are large scale healthcare organizations, and so there are large chunks of revenue and I think we’ll prove to have been wise to have gone down this path.
Chris Donat: 42:19 Okay, thank you.
Operator: 42:22 And we'll take our next question from Andrew Schmidt with Citi. Q - Andrew Schmidt 42:28 Hey guys, thanks for taking my follow-ups here. I wanted to ask about the opportunity implement the Blue Prism digital workforce across see client operations. Is there any way to size or think about that opportunity from a productivity perspective? And then, is that included in the Blue Prism margin ramp or is this a separate opportunity? Thanks.
Bill Stone: 42:55 Yes, we would view it as a separate opportunity. I think Blue Prism has a lot of running room and being able to market its products, I have two our client base and then the productivity increases that we get inside SS&C, I think well, really inner to the business units where they deploy Blue Prism. So that was one of the strategic reasons for doing it and I think it's going to be something that really, really strengthens our business.
Andrew Schmidt: 43:31 That's helpful. Thank you, Bill. And then just on the margin for the year just taking out Blue Prism has that outlook changed at all relative to the prior outlook perhaps contemplating some of the incremental wage and cost pressure? And then how do you feel about just cost being stable from this point forward, just from a -- because obviously we've seen some volatility in some big tick up, so curious if there is more to come more your comfort level there? Thanks a lot.
Bill Stone: 44:06 Yes, I mean we obviously don't have a crystal ball either, so depending on what happens in the marketplace, we're going to have to react and react in a way that is competitiveness. Right now we think we have done the right things and we have to rearrange some of our compensation policies and we're trying to make sure that we're sensitive to our talented workforce. And right now we think we're in reasonable shape, but no rather than have one bonus at the paid the first quarter after the year we're going to spread out some of that bonus, so that we pay part of it in Q2, parts of it in Q3. And then majority of it in the first quarter of ’23. So there's a number of changes that we're making and hopefully being well received by our workforce and that they know that their foremost in our mind and they're our biggest asset. So given the aren’t any more changes in interest rate serve our inflation don't keep going off the charts. I think we're in reasonable shape.
Andrew Schmidt: 45:28 Got it. Thank you very much, Bill. I appreciate it.
Operator: 45:32 Our next question comes from Patrick O'Shaughnessy with Raymond James. Please go ahead.
Patrick O'Shaughnessy: 45:37 Hey, good afternoon. Question about Blue Prism, how do you guys mechanically cross-sell Blue Prism to your client base. Is it the legacy SS&C salespeople who have is going to added to their  is the team based approach with the legacy Blue Prism people or how is that going to work?
Bill Stone: 45:57 Well, it’s both. Obviously, we're training our current sales force and getting some use cases, right. So you have to have like a digital worker that's called reconciliation or digital work of this call verifier some other -- where we take an expert and they work with an engineer and they create a digital worker and that has a rules-based repetitive capability that, that we then deploy. And so we have to have the use cases, we have to train our sales forces. What that use cases is and we have to kind of use both Blue Prism personnel, as well as our own. But we're pretty optimistic about it and it's something that everybody is interested in, so salespeople like sell stuff, whether he buy wants to buy. So I think we feel pretty strongly that the adoption will be, will be -- swifter than usual, I think.
Patrick O'Shaughnessy: 47:04 Got it. That's helpful. Thank you. And then a question for Patrick your full-year adjusted net income outlook decreased by, I believe, its $48 million at the midpoint relative to your previous outlook. But the operating cash flow outlook decreased by $130 million at the midpoint. What's driving that differential?
Patrick Pedonti: 47:24 There’s a couple of things that are driving the differential, one is I think Bill mentioned that we are now going to institute for some employees a quarterly bonus, so instead of having an annual bonus for this year in the first quarter of ’23, we’re going to make some payments this year, so that's affecting cash flow, succeed $80 million and then there were about $20 million or $25 million of deal costs related to Blue Prism acquisition and financing that are hitting the cash flow.
Patrick O'Shaughnessy: 48:02 Got it. Thank you very much.
Operator: 48:08 And that concludes the question-and-answer session. I would like to turn the call back over to Bill Stone for any additional or closing remarks.
Bill Stone: 48:16 Well, again, we appreciate you all being on the call today and we look forward to executing over the next several months and talking to you at the end of the second quarter. Thanks a lot. Bye.
Operator: 48:31 And that does conclude today's presentation. Thank you for your participation and you may now disconnect.